Matt Glover: Good afternoon, and welcome to Aware's Second Quarter 2025 Conference Call. Joining us today are the company's CEO and President, Ajay Amlani; CFO, David Traverse and CRO, Brian Krause. [Operator Instructions] Before we begin today's call, I'd like to remind everyone that the presentation contains forward-looking statements that are based on the current expectations of Aware's management and involve inherent risks and uncertainties that could cause actual results to differ materially from those described. Listeners should please take note of the safe harbor paragraph that is included at the end of today's press release. This paragraph emphasizes the major uncertainties and risks inherent in forward-looking statements that management will be making today. Aware wishes to caution you that there are factors that could cause actual results to differ materially from those results indicated by such statements. These results and uncertainties are also outlined in the company's SEC filings, including its annual report on Form 10-K, quarterly reports on Form 10-Q. Any forward-looking statements should be considered in light of these factors. You are cautioned not to place undue reliance upon any forward-looking statements, which speak only as of the date made. Although it may voluntarily do so from time to time, Aware undertakes no commitment to update or revise the forward-looking statements, whether as a result of new information, future events or otherwise, except as required by applicable securities laws. Additionally, this call contains certain non-GAAP financial measures as the term is defined by the SEC and Regulation G. Non-GAAP financial measures should not be considered in isolation from or as a substitute for financial information presented in compliance with GAAP. Accordingly, Aware has provided a reconciliation of these non-GAAP financial measures to the most directly comparable GAAP measures in the company's earnings release issued today. I'd like to remind everyone that the presentation will be recorded and made available for replay via a link available in the Investor Relations section of the company's website. Now I'd like to turn the call over to Aware's CEO and President, Ajay Amlani. Ajay?.
Ajay K. Amlani: Thank you, Matt, and good afternoon, everyone. This quarter marked another step forward in the strategic transformation we began earlier this year. We're building a durable, scalable business grounded in operational rigor, market alignment and differentiated technology. Since February, we've laid the foundation for future growth through deeper customer engagement, enhancements to our industry-leading technology and strategic hires that reinforce our science-forward customer-obsessed approach to go-to-market execution. At the core of our transformation is Aware's deep-rooted expertise and 3 decades of innovation in biometric technology from pioneering fingerprint and facial recognition to leading in passive liveness and multimodal identity platforms. We've consistently earned the trust of some of the world's most security-conscious institutions. Our proven track record across both public and private sectors gives us a unique advantage in today's market where trust, performance and interoperability are paramount. As we've engaged with customers, we have identified new opportunities to be their trusted technology partner in biometrics, helping transform data into actionable intelligence. To meet a growing market need, we've harnessed the power of our core technology and repositioned our product suite as the Awareness platform. This evolution allows us to deploy our capabilities in new and innovative ways, including strategic partnerships with customers and best-in-class providers. The result for customers is greater flexibility to deliver fast, accurate verification to help fight fraud, prove humanity and protect revenue with confidence. In Q2, we achieved best-in-class performance in the Department of Homeland Security's remote identity validation technology demonstration for passive liveness detection. This is one of the most rigorous biometric benchmarks in the world and Aware excelled. Our solution stood out for its strength in combating identity fraud and reducing friction. These results validate not only our evolving technology, but also our ability to meet real-world performance requirements for secure, seamless identity verification in the ever-changing identity fraud landscape. We also received strong third-party validation of our technological prowess. We were recognized as a luminary in core identity technology in the Prism Project's Deepfake and Synthetic Identity Report, an independent evaluation of over 200 organizations. Aware was specifically recognized for standout capabilities in deepfake detection, injection detection and both active and passive liveness, highlighting the depth of our science and the sophistication of our Awareness platform. These validations underscore that we're not just keeping pace with the market, but rather helping shape it. Though continuous -- through continuous product innovation and independent validation, Aware is becoming the trusted biometric infrastructure partner for governments and global enterprises alike. As we outlined last quarter, advancing our core technology remains a central focus for our transformation strategy. In Q2, we continued to focus on our first pillar of transformation to enhance our Awareness platform, our system-agnostic infrastructure that integrates the best-in-class biometric algorithms into a single interoperable, rapidly deployable solution. We improved both facial matching speed and mobile face capture reliability, allowing for a more frictionless user experience. These improvements reflect our science-forward approach, our focus on scalability and our decades of experience. With large commercial enterprises struggling to build this internally, our platform will give the market a plug-and-play biometric security solution that can be deployed in weeks. To support and accelerate this market opportunity, we further strengthened our leadership team. This quarter, we welcomed Lona Therrien as Chief Marketing Officer. With over 15 years of cybersecurity marketing experience, Lona has a proven track record of building high-performing teams, driving demand and strengthening brand visibility. Her leadership at companies like ExtraHop, Cybereason, [ Mime ] reflecting deep industry expertise and a data-driven customer-first approach. Her expertise is already helping amplify our voice and drive stronger engagement across both the enterprise and government sectors. We anticipate that Lona's leadership will be instrumental in increasing brand visibility, accelerating pipeline velocity and generating more consistent marketing sourced demand in the second half of the year. The second pillar of our transformation is continuing to strengthen our go-to-market strategy to scale the business thoughtfully and sustainably. We're executing effectively against our 2025 plan with strong momentum across both the pipeline and our strategic accounts. To improve win rates and accelerate the onboarding of key customers, we're making targeted investments in critical areas. This intentional and disciplined approach to spending is designed to derisk long-cycle opportunities and position us for accelerated revenue growth in the latter half of 2025. The final pillar of our strategy is deepening our strategic partnerships across both the public and commercial sectors. This quarter, we expanded our presence in the federal space by engaging external experts to support our strategic positioning and drive opportunity development within key U.S. government agencies. These efforts are aimed at increasing our visibility and alignment with government priorities, ultimately strengthening our public sector opportunity pipeline. In addition, we expanded our federal footprint internationally. In Q2, we secured national ID programs for 2 Middle Eastern governments. These contracts were secured through a new partner, highlighting the strength of our growing network and customer success team. A key customer secured this quarter was a top 15 global financial institution, marking the continued expansion of Aware in the commercial sector. Our customer-obsessed go-to-market execution is translating into real wins and a growing pipeline of meaningful opportunities across our target markets. We're building real momentum and doing it with customers that understand the strategic value of what we're offering and in particular, the uniqueness of our Awareness platform. With that, I'll turn it over to David for a closer look at our Q2 financials. Over to you, David.
David K. Traverse: Thank you, Ajay. I'll walk you through our financial results for the second quarter that ended on June 30, 2025. Total revenue for the quarter was $3.9 million compared to $4.3 million in the prior year period. The year-over-year decrease was largely the result of timing of perpetual license sales. As we mentioned on our last call, we expect revenue to fluctuate as we execute a very strategic transformation, all of which is building the foundation for sustainable future growth. Recurring revenue increased 2% year-over- year to $2.7 million for the second quarter. The slight increase was primarily due to increased software maintenance. Moving down the income statement. Operating expenses were $5.9 million compared to $5.7 million in Q2 of 2024. The increase is the result of expanding the Aware team, particularly the key executive leaders we've hired throughout the year to accelerate growth. Operating loss was $2 million compared to an operating loss of $1.3 million in the prior year period. GAAP net loss was $1.8 million or $0.08 per diluted share compared to GAAP net loss of $1.1 million or $0.05 per diluted share in the same year ago period. Adjusted EBITDA loss for Q2, which are reconciled to GAAP net income in our earnings release, was $1.4 million compared to an adjusted EBITDA loss of $1 million in the second quarter of 2024. The year-over-year increase in adjusted EBITDA loss was attributed to lower revenue as discussed above. Turning to our financial results for the 6 months ended June 30, 2025. Total revenue was $7.5 million compared to $8.7 million in the first half of 2024, and recurring revenue was $5.4 million compared to $5.9 million in the first 6 months of 2024. The year- over-year decrease in revenue was the result of timing of perpetual license sales as well as the impact to recurring revenue of some customers rightsizing their transaction prepayments based on prior year usage. Our operating expenses were flat year-over-year at $11.3 million. Operating loss of $3.8 million compared to an operating loss of $2.6 million in the prior year period. Net loss was $3.4 million or $0.16 per diluted share compared to a net loss of $2.1 million or $0.10 per diluted share in the same year ago period. Adjusted EBITDA loss was $3 million compared to adjusted EBITDA loss of $1.9 million in the first half of 2024. Transitioning now to the balance sheet. As of June 30, 2025, we had cash, cash equivalent and marketable securities totaling $23.7 million compared to $27.8 million as of December 31, 2024. We remain well capitalized and our strong balance sheet provides the flexibility to continue investing with purpose. In the months ahead, we will focus on spending on areas that directly support growth, including customer success and commercial execution. These investments are designed to accelerate pipeline conversion, improve onboard readiness and create long-term value. We are monitoring progress closely to ensure spending stays disciplined and aligned with revenue opportunities. While the first half reflected a transitional phase of our business, we're beginning to see early traction from the foundational work completed across our go-to-market strategy, leadership additions and platform enhancements. These efforts are starting to generate signs of momentum that we believe will translate into improved revenue performance as we exit 2025. With that, I'll turn our call over to our Chief Revenue Officer, Brian Krause. Brian?
Brian J. Krause: Thank you, David. When I joined Aware, we set out to bring discipline, accountability and scalability to our go-to-market plan, and we're already making great progress on this front. Our pipeline value and potential opportunities have increased significantly. Last quarter, we introduced the Awareness platform and have already made meaningful technical progress while garnering strong interest from the commercial sector. Our Awareness platform serves as a system-agnostic biometric infrastructure that delivers fast, flexible and secure identity capabilities at scale. In the second quarter, we introduced a series of performance and usability enhancements that further strengthen its position as an enterprise-grade solution. Key updates included a 14x improvement in face matching speed through optimization of our one-to-end search algorithm, significantly reducing response times for high-volume identity checks. The mobile face capture function was also enhanced with improved blur and motion detection, dynamic positioning guidance and refined liveness prompts, leading to higher first-time capture rates and lower user drop-off across a range of devices and conditions. These upgrades are already being deployed in customer pilots and delivering measurable gains in throughput, reliability and user experience. By improving both web and mobile performance, the Awareness platform is becoming even more deployable and resilient, a clear differentiator for enterprise and government customers building identity systems that must perform at scale. The innovativeness of the Awareness platform in conjunction with our marketing, sales and customer success initiatives has intensified customer engagement. This quarter, our sales team advanced enterprise deals with several Fortune 500 companies across a range of sectors. Notably, we're nearing contract finalization with a digital identity wallet provider and are actively engaged with one of the world's largest and most influential financial institutions with whom we expect to begin testing in the third quarter. Additionally, we initiated conversations with a global digital marketplace that serves the consumer services sector and our first major U.S. airport. Momentum is also building across our federal government relationships. Agencies are ramping up their use of biometrics and modernizing legacy systems, creating new opportunities for our core offerings, including Awareness platform. Separately, we're seeing continued traction within the law enforcement market where our ABIS product is being used to support large- scale multi-agency identity workflows. These parallel efforts highlight the expanding demand for both secure identity management and scalable biometric infrastructure across different segments of the public sector. Our late-stage pipeline is growing in both value and quality with many opportunities progressing beyond discussion and into well-structured buying processes that include clear budgets and time lines. This includes deals moving through pricing, contracting and proof-of-value testing stages. Our confidence has reinforced that the second half of 2025 and 2026 will deliver meaningful revenue acceleration as these opportunities convert into production deployments. To support this growth, we continue to refine and professionalize our go-to-market strategy guided by 2 core principles: Science forward solutions and customer obsessed execution. Our plug-and-play platform now incorporates best-in-class third-party technologies, allowing for more flexible and tailored deployments in a system-agnostic infrastructure with interoperability. Simultaneously, our customer success team is empowered to manage end-to-end solution delivery with greater speed and precision. This combination strengthens customer relationships, accelerates time to value and drives expansion opportunities for Aware. As I mentioned earlier, we are also seeing steady progress with several key accounts moving into testing and evaluation stages. Engagement is deepening across both commercial and government sectors as we broaden our footprint across multiple verticals. Our ongoing focus on execution and onboarding is critical to maximizing pipeline conversion and ensuring long-term value creation. Both our sales and customer success teams have been strengthened, helping us to deeply understand each client's unique environment, enabling us to tailor and deploy solutions rapidly and effectively. This expertise allows us to offer an alternative to organization, trying to build these capabilities internally. By focusing on speed, interoperability and reduced time to value, we are building stronger, more durable customer relationships, increasing expansion opportunities and positioning Aware as the trusted partner for enterprise and government customers seeking scalable biometric solutions. This disciplined approach to solution delivery and customer engagement will continue to drive momentum as we convert our growing pipeline into long-term high-impact deployments with meaningful revenue in the months ahead. Now I'll hand the call back to Ajay for his closing remarks.
Ajay K. Amlani: Thanks, Brian. Q2 demonstrated clear progress against the strategic plan we put into motion. We are gaining credibility with enterprise and federal customers, validating our platform through independent benchmarks and real-world deployments and taking disciplined steps to convert our pipeline into revenue and future opportunities. As we enter the second half of 2025, our strategy remains focused build the most flexible, trusted and science forward biometric infrastructure in the market and scale it with discipline. We are laying the groundwork for sustainable growth by aligning to market needs, tightening operational focus and leveraging our unique technology. We are executing against a clear road map driven by a leadership team purpose built for transformation. We are expanding our pipeline through strategic partnerships that unlock long-cycle opportunities across both government and enterprise markets, while sharpening our go-to-market strategy through a customer-obsessed science-forward approach. With purposeful investments aimed at accelerating deployments, strengthening customer experience and deepening our presence in high- value markets, we believe Aware is well positioned to lead the next generation of biometric innovation and deliver sustainable growth in 2026. I look forward to sharing more about our progress during our Q3 call. That concludes our prepared remarks. We'll now open the call for questions. Matt, please provide the instructions.
Matt Glover: Thank you, Ajay. [Operator Instructions]. We'll begin with questions submitted by investors ahead of today's webcast. Our first question is for Ajay. Leidos has been a long-standing partner of Aware's. Today, they announced a significant task order awarded by the FBI. Can you provide some insight into the press release and what this means for Aware's partnership with Leidos.
Ajay K. Amlani: Yes. Thank you very much for the question. We're very excited about the ongoing investments by the U.S. federal government into the biometric industry and into identity. While we don't comment on any specific customers or partners, we encourage the ability for ongoing investments in growth and we look forward to being able to be a part of all of the investments within the federal government as they continue to recognize the importance of identity and biometrics.
Matt Glover: The next question is for David. Based on your current visibility, what do you expect for revenue in the second half of 2025? And what are the key factors that could influence that performance?
David K. Traverse: Thanks, Matt. So we continue to be the second half of 2025 as an important period of progress for the company, particularly in terms of pipeline advancement as well as customer onboarding. However, we're still being thoughtful about how that translates into revenue timing as that can be very different on each specific deal. And we really don't have line of sight to that yet? Our focus really remains on execution and bringing new customers into production, which will set us up for multiyear contracts and contributing meaningful revenue over time.
Matt Glover: The next question is for Ajay. Looking into 2026 and beyond, what are the key revenue growth levers you're focused on now? .
Ajay K. Amlani: Our key growth levers today are the federal government work that we continue to be able to pursue, the law enforcement market that we've always had a legacy and a history within and also the commercial market, which have been showing a significant amount of interest and expansion within the utilization of biometric technology. Historically, the biometric industry has really been formed around federal government work with national ID programs and border security work. Within that, there's been significant increases within the U.S. federal government's budget to the tune of about $165 billion that has been added to the Department of Homeland Security budget over the next 10 years. They've made plans to spend about $44 billion of it in fiscal year 2026, much of which is going to be done and spent on border security work and other related initiatives that involve technology. So we're very interested and excited to be able to participate in some of that growth given that the baseline budget for the Department of Homeland Security to begin with is really just $115 billion to begin with. Within the law enforcement community, there's been added emphasis on the law enforcement community to be able to deploy better technology, upgrade and refresh some of their investments and continue to look for better vendors that will respond quicker to their needs. We have a very strong reputation embedded within this industry, and we look forward to be able to grow within it. Within the commercial market, there are 3 levers to identity. 3 factors of identity, and that is what you know, what you carry and who you are. The who you are piece has always been biometrics, but that has been pushed down over the last few years with concerns of surveillance and other concerns that people have always had not recognizing that biometrics actually enhances privacy. What we found is that with Face ID and other technologies now being the go-to capability for consumers to be able to identify themselves on their mobile devices, the customer reaction to biometrics is now at an all-time positive and the utilization of the technology will continue to be increased as other factors of identity, namely what you know as an user ID using passwords and social security numbers and phone numbers, continue to be openly available on the dark web and now even on the open web and ongoing AI capabilities from fraudsters continue to infiltrate factor number 2. Factor number three, with regards to biometrics is the obvious utilization and opportunity of choice for technology that allows humans to be able to prove that they are a human online and prove that they are the right human online at that time.
Matt Glover: We have a question for Brian. Given that recurring revenue grew modestly, what steps are you taking to accelerate your subscription- based business?
Brian J. Krause: Thank you for the question. So we continue to invest in our go-to-market process and teams with a focus on scalable biometric projects and solutions. And so as we continue to focus around the markets and the segments that support the core products we've talked about on this call, the Awareness platform, the digital biometrics, the ABIS solutions for law enforcement. Our focus is generally on the larger end of the market, where our software solutions are deployed as enterprise infrastructure. The commercial models for most of those deployments are generally recurring long-term sticky durable relationships. So we expect a continued focus on these segments and these products to help our transformation continue and accelerate into the future.
Matt Glover: Thanks, Brian. We have another one for you. How are you improving the sales cycle velocity? And what are the bottlenecks today?
Brian J. Krause: Sure. Thanks again for the question. So I won't highlight any specific bottlenecks today, but I will say that we have focused, as I mentioned in my comments, on really strengthening our end-to-end sales process and our teams to really focus on customer requirements and being customer-obsessed. And as a result of this, what we see generally is a closer alignment to customer requirements and understanding of needs. This often manifests and translates into shorter proof-of-value testing as well as higher success rates with proof-of-value testing. So again, our focus is really on aligning closely with these big enterprise customers across a multitude of sectors, deeply understanding requirements and goals and being able to execute on value delivery and the short time to value for these customers.
Matt Glover: Ajay, what trends are you seeing globally in government biometric deployments that Aware is well positioned to capitalize on?
Ajay K. Amlani: I'm very excited about this question because there is a lot of interesting trends happening globally that we are looking to try to advance on. Now we are a U.S.-based customer -- I mean, U.S.-based company. We have our history going back 35 years to really the foundation of this company in Boston by MIT graduates who responded back to a request by the FBI to really create a common standard for fingerprint technology, so that they can have open vendor-agnostic solutions and the capability for the market to be able to grow in the biometric realm. What we've understood and accepted from the beginning is that our focus on the North American market doesn't preclude us from being able to operate internationally. We select very carefully our partners to be able to work with internationally, and we grow those partners, and we look for their success, and we stay hyper-focused on being able to make sure that we can deliver the things that we promised on our end. Those partners that we have internationally and the work that we're doing here domestically is very focused on a few different fundamental components and opportunities around the biometric industry and especially as it relates to the federal government work that we have done for the last 30 years and continue to do and will grow. Much of that involves both federal uses of issued identities, whether that's for federal government employees or for individual residents of the country. Mobile drivers licenses continue to roll out, companies that have large digital wallets are looking at growing the utilization of those, both within the United States as the issuers are DMVs and other organizations. And then the issuers globally, who also have national ID programs that represents a very large opportunity for us as basically in any ID verification flow, there is, first, the presentation of a credential and then the recognition that the face matches -- the live face of the human matches the face that is on the credential. So as that transitions into a digital world, which is very important because the digital world now far exceeds the number of transactions that you see in the physical world. Digital identity globally, government-issued digital identity globally, can help to serve to protect the Internet and protect consumers and help to recognize what is a bot, what is not a bot, recognize the difference between AI-enabled capabilities and who is a human and whether or not the human has, in fact, authorized the bot on their behalf. So there's a large growth in federal government issued digital identities as there are also in global travels. Global travel has expanded dramatically. Here in the United States, we're expecting huge leaps in global travel going into the World Cup in 2026 and the Olympics in 2028. And the way to be able to accommodate for all of that growth with very limited resources and the inability to be able to hire or expand footprint is through the utilization of technology such as biometrics. And so the utilization of biometrics across the globe in the travel sector presents a unique opportunity for Aware to be able to capitalize on its legacy and its presence that it established post 9/11 as one of the vendors of choice for most of the major travel organizations to be able to secure travel. So those are 2 of the opportunities that we're looking at within the federal government sector globally.
Matt Glover: Thank you, Ajay. We received several questions from John Basler from Basler Capital. His first question is for David. Why is the second quarter G&A up more than the sum of R&D and selling and marketing on a year-over-year basis?
David K. Traverse: Thanks for the question. I think it's easier to break those down into two parts. I'll start first with the R&D and sales and marketing, combining those. So both of those areas with the changes we made to the executive team have gone over really a purposeful transformation over the past year. And what we've been doing, we've been realigning these teams to focus on execution, efficiency and strategic priorities. And we're making investments in those groups. So we do expect these costs to increase in the second half of the year as we make those investments. On the G&A side, it's really worth noting it can really fluctuate from quarter-to-quarter depending on kind of timing of kind of onetime events and also kind of some other kind of just actions, but there's nothing really of note there. Just kind of one thing was there were some performance-based stock option expense in there for when we brought Ajay on that's happening on a quarterly basis. That wasn't there last year. But it's really just kind of an up and down expense that can happen, so just natural fluctuations that we expect G&A to hold pretty steady kind of in the second half of the year.
Matt Glover: John has 3 questions for Brian. His first question is, how does your current pipeline and volume of deal flow compared to the first quarter?
Brian J. Krause: Good question, John. Thank you. I can say without providing sort of specifics on our internal KPIs, I can say that the acceleration of our pipeline, both from a volume and value size have accelerated significantly. Q2 was an investment quarter in go-to-market. And I think most of the growth in pipeline exceeded our internal expectations in terms of acceleration. And we feel very confident from my comments that the second half we'll start to see some of that revenue acceleration and into 2026.
Matt Glover: Brian, what are your customer and revenue retention rates?
Brian J. Krause: So our current customer revenue and retention rates are without getting into specifics are very consistent with previous years. Our efforts to continue to focus on end-to-end customer relationship management and investments in our customer success team, that's an area of focus that we hope to actually continue to improve upon as well as in the future, of course. But so far, both gross data retention, net data retention are consistent with previous years.
Matt Glover: Brian, can you speak to any notable recent RFP wins or losses?
Brian J. Krause: Yes. We don't comment on specific projects or customers. I will say that the market is very active, both in commercial and government, as you've heard today throughout the call. We have been very active in pursuing a lot of computed projects, some of which will take some time, of course. But we are very excited by the validation that, that provides from the market that there is a lot of interest in our technology and there's a lot of formal process being undertaken by customers, both public and private to thoroughly evaluate their technology providers. As you heard in some of the comments and as you can see in some of the reports, our product is performing very well is being validated very highly. So we feel confident that those projects that we are competing in we'll do well in. And we are competing in a fair number of them on a quarterly basis at this point.
Matt Glover: Final question is for Ajay. Can you give some color on Aware's M&A pipeline?
Ajay K. Amlani: Sure, absolutely. At this point in time, we're focused on tenacious execution internally and making sure that our phenomenal team that we have within the company continues to stay and understand the corporate strategy has a part in developing the corporate strategy and continues to also work with that level of intensity to be able to serve customers with white glove service go over and above what we need to do to be able to deliver a great experience for the new customers that we bring on board of Aware, making sure that we can underpromise and overdeliver and then continue to grow within them, very much land and expand strategy for the company. Much of that is tied into investments internally within the company to make sure that we have the best software engineers that we can have within the company to complement our existing amazing team of developers and engineering leaders. We continue to invest in internal go-to-market function and capability as evidenced with the hiring of Lona Therrien who has built multiple multibillion dollar companies with her marketing prowess and capabilities and with Brian Krause leading up our revenue organization and individuals underneath those teams. So as we continue to invest in our customer success function, our sales function, our engineering function, we take a look at new customers coming on board, and we look at Aware's platform -- the Awareness platform, which in itself has many of the capabilities and components that are necessary to be able to serve today's demand and market need for biometrics globally. So from a technology perspective, a product perspective, there are not gaps necessarily in our product suite that would need to be filled with M&A. And from a customer standpoint and a growth standpoint, we look towards internal execution as opposed to external M&A to be able to drive that growth.
Matt Glover: Our next question is from Nat Stewart from N.A.S. Capital. It's good to hear that the pipeline is growing and substantial entities such as federal government and Fortune 500, what is the revenue model for these sales, onetime licensing fees, multiyear contracts or pay as use?
David K. Traverse: This is David. Matt, I can take this one. Go ahead, Brian.
Brian J. Krause: Sure. Yes. I think it's consistent with my comments earlier about where our focus is right now. So the pipeline is obviously a byproduct of where our go-to-market focuses and our process, our program works. And so most of this newer pipeline that we've been able to successfully develop is in large-scale biometric projects that align more closer to sales models of enterprise software and infrastructure licensing. So we expect to see, as I mentioned earlier, sort of continued transformation of our overall revenue as more of these projects are successful and start to move towards more of an enterprise licensing model, not across the board, of course, but we still have a very strong components business across the world, and we'll continue to service that and continue to support that. But our focus right now is on being a true enterprise infrastructure provider to large-scale biometrics, projects, and those projects are typically sold as enterprise licenses.
Matt Glover: This time, this concludes our question-and-answer session. If your question wasn't answered, please e-mail Aware's IR team at awre@gateway-grp.com. Before we conclude, I'd like to remind everyone that a replay of today's call will be available via link in the Investor Relations section of Aware's website. Thank you for joining us for Aware's second quarter 2025 conference call. You may now disconnect.